Operator: Greetings, and welcome to the XPEL, Inc. Second Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, John Nesbett with IMS Investor Relations. Thank you, sir. You may begin.
John Nesbett: Good morning. And welcome to our conference call to discuss XPEL's financial results for 2019 second quarter. On the call today we have, Ryan Pape, XPEL's President and Chief Executive Officer and Barry Wood, XPEL's Chief Financial Officer. Ryan will provide an overview of the business and Barry will review the financials. Immediately after prepared comments, we will take questions from our call participants. Let me take a moment to read the Safe Harbor statement. During the course of this call, we will make certain forward-looking statements regarding XPEL, Inc. and its business, which may include but are not be limited to, anticipated use of proceeds from capital transactions, expansion into new markets and execution of the company's growth strategy. Often but not always, forward-looking statements can be identified by the use of words such as plans, is expected, expects, scheduled, intends, contemplates, anticipates, believes, proposes, or variations, including negative variations of such words and phrases, or state that certain actions, events or results may, could, would, might or will be taken, occur or be achieved. Such statements are based on the current expectations of the management of XPEL. The forward-looking events and circumstances discussed in this call may not occur by certain specified dates or at all, and could differ materially as a result of known and unknown risk factors and uncertainties affecting the company performance and acceptance of the company's products, economic factors, competition, the equity markets generally and many other factors beyond the control of XPEL. Although, XPEL has attempted to identify important factors that could cause actual actions, events, or results to differ materially from those described in forward-looking statements, there may be other factors that cause actions, events or results to differ from those anticipated, estimated or intended. No forward-looking statement can be guaranteed. Except as required by applicable securities laws, forward-looking statements speak only as of the date on which they are made, and XPEL undertakes no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. Okay. With that, I will now turn the call over to Ryan.
Ryan Pape: Thanks John and good morning everyone as well. Welcome to the second quarter 2019 call. Overall, we achieved the record revenue quarter and surpassed $30 million for the first time ending at $30.1 million, or about 4.5% revenue growth over Q2 2018. I was pleased with our overall Q2 revenue growth, especially in light of the challenges in China we've talked about on previous calls. First, I'll review our performance by region. Q2 China revenue was down $6.3 million or around 67%, which is above what we expected and in line with our previous comments. As we've noted, there was some significant inventory build that occurred last year, and we experienced our highest sales into China during March and April of last year. The good news, however, is that despite the significant reduction in our sales to China for the quarter owing to that inventory build last year, our in country reporting indicate sales grew modestly for the quarter on the ground in China. So that's quite a divergence in results, but a very positive one. We remain bullish on China and its future growth prospects for us. Turning to the U.S. The U.S. business continued its previous positive trends. We posted 55.5% growth for the quarter. U.S. market continues to perform well in all product categories. But to put up, nearly 56% growth is incredible, and that's peak performance for us and a result of our team in the U.S. absolutely firing on all cylinders, and they're doing an amazing job. We continue to get great feedback on our new ceramic coating product, XPEL FUSION. Window film continues to be a growth driver for us, in the U.S. in particular. So we're very pleased with our U.S. performance. We've been adding to our U.S. sales team this year and last year, and we continue to do that and plan to do that for the remainder of the year and going into next year. We saw growth in Canada in Q2 in U.S. dollar terms at 18.1%, this was after a weak Q1. We talked last quarter about some large orders and timing compared to the prior year causing us -- causing the revenue decline in Q1 for Canada. So this was an expected reversal and a more positive trend. In our Continental Europe region, we posted Q2 U.S. dollar growth 14%. Our euro functional currency growth is 21%. So we're seeing pressure from the currencies again. As I mentioned on the last call, we do some project work in Europe. And we have two projects complete in 2018, Q2. So if we were to ignore those two projects, our revenue growth was almost 35% in euro terms for the quarter. We expect to more of these type of projects, as we mentioned before, that relate to fleets and other things in the future. And that does add some volatility to the numbers in that business. Also, this month, we've opened our first facility in Germany to help support our growth there and a variety of ongoing projects. In the UK, we reported approximately 14% growth in U.S. dollar terms. Again, a British pound functional currency growth is a little over 20%, which was off of Q1 sort of outperforming at 50% growth, but still a good result. We could see the impact here on the British pound also year-over-year, due to Brexit uncertainty and other factors, but the UK business remains strong. In Asia Pacific, which excludes China, we grew at a little over 50% in Q2, after posting nearly 70% growth in Q1. Our team there is doing a great job growing and servicing the region from within the region now. I'm very happy with how we're trending. And this is pretty broad based growth across many countries. There's not one country dominating that. And we're looking to add to our sales team across the region to support those activities. We're moving into new office in Taiwan later this year as part of expansion of that team, so good things going on there. In terms of the Latin America business, we posted 28.1% growth in Q2. As you may recall from our last quarter, Q1 2018 had increased sales year-over-year due to liquidation and discontinued products. So that made for a tough Q1 '19 comp for Latin America where we were down nearly 40%. So that's run its course and we're seeing growth. Within that, our business in Mexico is up roughly 130% year-over-year in Mexican peso terms and has really good momentum. We're continue adding to our direct sales team in Mexico. We're running a clearly differentiated gain from anyone in Mexico with this strategy of building our direct sales team, and it's very consistent with our overall get close to customer strategy. And it's producing outstanding results. And Mexico for us continues to be one of our leading gross margin territories by implementing that strategy. So we're very happy with the progress there. Turning to the Middle East, region grew 9.1% for the quarter year-over-year. That's an improvement over our 2018 and Q1 numbers for the region. But it's still underperforming and an area of focus for our management team. Worth noting, we've also improved the margin profile of that business, and that's contributed to our overall gross margin improvement. So that's a little good piece of news tucked in there. Speaking of gross margin, we finished the quarter with the highest gross margin in our history of 35.3%. This is due to several items that we continue to talk about and focus on, which is obviously product channel mix, bill materials product costs and then our non-bill materials items and COGS, and trying to have a clear strategy to manage all three of those. Clearly, the strong revenue growth in the U.S. that offset the declines in China is a net positive for the overall gross margin profile. And consistent with my previous comments, it's worth noting that we made this progress despite an overall negative currency environment with each of Canadian dollar, the euro and British pound, down four to six year-over-year for the quarter as compared to the U.S. dollar. We're getting good traction on our new products. Window film represented 10.5% of our revenue for Q2, growing approximately 34% year-over-year. And because of our revenue and gross margin performance, coupled with our ability to relatively hold the line on OpEx outside of some one time things, which Barry will talk about, EBITDA margin finished at 14.6%, so really nice results there. And with our increasing leverage and assuming return to growth, we're budgeting an increase of our marketing expense, which is a component of our sales and marketing line item, by around 90 basis points of revenue on a go forward basis. With our increasing operating leverage and gross margins, we believe we can do this overtime without materially altering our SG&A percent of revenue. But I feel it's a very important thing to do for our brand. And this will create some really exciting new possibilities for us going into next year. Overall, I really like how we're trending, particularly looking at sort of bottom-line performance and particularly the performance in many of our regions on the revenue side. Based on our expectation that most of our regions' performance remain strong and coming off the deepest end of the China inventory build in 2018, along with the strong start to July, we expect to return to close to 20% revenue growth for Q3. So that's really exciting and good news. Finally, as many of you know, our shares began trading on NASDAQ on July 19th. We had members of our team. And I had the pleasure of ringing the bell on July 31st, so great day for our team and for our brand. We received really good feedback, helps elevate the profile of the company. And just to reiterate what a great job our team did on the whole process of moving to the U.S. from Canada. They did an amazing job, and it will pay dividends for the company for some time to come. So with that, I will turn the call over to Barry to go into more detail on the numbers. Barry, take it away.
Barry Wood: Thanks, Ryan and good morning everyone. As Ryan mentioned, total Q2 2019 revenue increased 4.5% to $30.1 million, which was one of the highest revenue quarter in the history of XPEL. Sequentially, Q2 2019 revenue grew $5.4 million or 21.7% versus Q1 2019. And absent the impact of China that we previously discussed, we saw strong growth in most of our regions across all product lines. Q2 2019 product revenue increased 1.7% to $25.4 million. And in this category, paint protection film declined 3.4% to $21.2 million and represented 70.3% of our total revenue. This rate of decline was less than the 8.7% decline we saw in Q1. It was mainly due to the declines in paint protection film sales into China, which were partially offset by strong paint protection film growth in other regions, as Ryan mentioned was led by the U.S. Ryan also mentioned our strong window film revenue performance, which finished at one of our highest quarters on a percent of revenue basis since we began offering the product, which is good news there. Total service revenue grew 22.8% to $4.7 million. As we discussed previously, our service revenue consists of excess fees for our DAP software; cutbank credits revenue, which represents cut fees charge for the use of our DAP software; installation labor revenue from the labor portion of installation sales at our company owned installation centers; and finally, training fee income, resulting primarily from fees charged for attendance at our training classes. Software revenue increased 23.7% as we continue to increase the amount of DAP users. Cutbank credits revenue increased approximately 19.7% due mainly to strong product sale lead again by the U.S. region. Installation labor grew 23.5% as we continue to see strong demand in our company owned installation centers. Total installation revenue if you combine product and labor increased about 23.5% as well and represented 6.5% of our total revenue. Finally, training revenue increased 55.9% quarter-over-quarter. And while training revenue represents a relatively small percentage of our overall revenue, it is a good leading indicator of continued demand for our products and services. Our training classes are almost always full, and continue to be booked out several weeks. Gross margin grew 24.1% to $10.6 million in Q2 2019, and our gross margin percentage finished at 35.3% versus 29.7% in Q2 2018. And as you recall, we finished -- gross margin finished at about 33% in Q1 2019, so nice progress there. Our Q2 2019 SG&A expense grew 30.5% versus Q2 2018, and represented 22.1% of total revenue. Sales and marketing expenses grew 39.7% versus Q2 2018. But included in this amount was approximately $0.5 million for annual dealer conference that was held in May this year and was held in Q1 2018. So if you normalize for the sales and marketing expense, it would have grown about 8.8%. Q2 2019 general administrative expenses grew 26.8% versus Q2 2018 due mainly to the increases in personnel, occupancy, IT and research and development costs to support the ongoing growth of the business and the development of new products, as well as increases in professional fees due mainly to the costs related to our U.S. registration process. We incurred approximately $300,000 of onetime costs during the quarter related to our registration process. And as you all know, we've completed our registration process and NASDAQ listing in July. So consequently, we will have some overhang of registration costs in Q3. Normalizing for the direct conference costs and these SEC registration non-recurring costs, overall Q2 SG&A expense would have grown by around 15.6% and represented 19.6% of total revenue, which gets us closer to our 18% target. Q2 2019 EBITDA increased approximately point $0.6 million to $4.4 million, reflecting an EBITDA margin of 14.6%. And Q2 2019 net income increased approximately $0.5 million to $3 million, and represented 10% of revenue. EPS for the quarter was $0.11 per share. Q2 2019 cash flow from operations was $2.1 million, which was more than double Q2 2018. Our inventory levels closed out the quarter at $15.3 million compared to $13.6 million at the end of Q1 2019. As we discussed last quarter, we have increased our inventory levels to facilitate more lower cost ocean shipments to our international subsidiaries. Our financial position remains very strong with our net debt still at zero. And now that the NASDAQ listing is behind us, we anticipate amping up our acquisition activity, which will be the primary use of our excess cash as we move forward. Finally, as we announced last week, we've decided to delist from the Toronto Venture Exchange effective the close of trading on August 30th. All this really means that the shareholders or potential shareholders will only be able to trade on NASDAQ, and will no longer have the option to trade on the TSXV after August 30th. And there is no action that needs to be taken by any shareholders as a result of this decision. And with that, operator, let's open the call up for questions.
Operator: Thank you. We will now be conducting a question-and-answer session [Operator Instructions]. Our first question comes from the line of Brock Erwin with CleverInvesting. Please proceed with your question.
Brock Erwin: Great work on the gross margin improvements, that's the highest I've seen since I've been following the company. And it could be a record I'm not sure, so anyways congrats on that. Anyways, I was wondering a little bit more about that. You mentioned it was attributable to -- the improvement was attributable to product mix, as well as decreasing unit costs. So I'm just wondering, going forward. Do you think there is room for further improvement? Or are you guys happy with that 35% level that you're at right now?
Ryan Pape: Well, I think, I'd answer that two ways. I'm certainly, happy from the standpoint that we've made great progress, particularly year-over-year. But I think our desire to see that improve doesn't end at that number. Certainly, probably for the near-term, that's kind of the max out in terms of gross margin, particularly as we're seeing activity in China pick back up. Obviously, that's a -- reduces the overall gross margin profile. And then in the sort of weak -- strong U.S. dollar, weak other currency environment we're in. So I think that sort of probably peak performance for us for right now. But I think we're looking at -- we can get through the remainder of this year and into next year, we certainly are -- had our sight set a little bit higher than that. But that's probably where we end up for now peak performance.
Brock Erwin: And then I was just going to ask about the cash. You mentioned acquisitions. I'm just wondering how soon do you guys think that that might start to pick up? When do you think the timing of that might occur?
Ryan Pape: So I think as we probably talked about before, just operationally getting through the U.S. registration. We put a lot of that activity on hold. Certainly, we have a lot of good prospects and a good funnel of opportunities that persisted throughout that time. So we're very active on it now. I can't say whether anything will happen the balance of this year, although, that's possible. But we're certainly back to focusing on that as key part of our overall strategy.
Operator: Our next question comes from the line of Adam Goldstein, a Private Investor. Please proceed with your question.
Unidentified Analyst: So my first question is on SG&A. Barry, you mentioned an 18% target but Ryan mentioned 90 basis point increase in your budget for sales and marketing. So could you clarify that, is the 18% target inclusive of this additional sales and marketing? And also does that 18% include the annual expenses, like dealer conferences, expenses that you guys do every year?
Ryan Pape: So I think -- that's a good question. Our overall target of 18% is really unchanged as we look at the business going out the period of time, and we're still focused on that target. I mean, you obviously see kind of the trend this year with lower revenue growth and the other added costs. We've moved a bit away from that sort of the first two quarters of this year. But we still feel that that's a good midterm target for us. And the increase in marketing costs as a percent of revenue doesn't really change that target. It might change it in terms of the implementation and the timing. It might move that out a quarter or two to achieve that, but it doesn't ultimately change where we think we can go with the business. And I would say that relative to dealer conference and these other things, all that's part of -- we were counting everything sort of in that mix on an ongoing basis. I think very simply pointing out that that dealer conference expense has shifted quarters on us for '19 verses '18.
Unidentified Analyst: And another question here is on -- you have it looks like 23% growth in installation labor. Is that same-store sales growth? Or do you -- was there an acquisition that was responsible for some of that growth? And also with the training, you had a 50% increase in training revenue, which is fabulous. But is that --does that translate to roughly 50% increase in number of people trained? Or was it more like you're just able to charge more money as opposed to giving free [Multiple Speakers] for the quarter?
Ryan Pape: Yes, so a couple things. Let me answer your training question first. So generally, the increase in training dollars means we're training more people. A decrease in training revenue doesn't necessarily mean we're training fewer people just depending on where we're doing the training and how that's structured. So generally that means, yes, we're training more people. And part of the reason for that is we're beginning to do training in other areas outside of just paint protection film. So obviously, within two years, with past two years, we've added training for automotive window film. Within the past quarter, we've begun doing training for our architectural window film, just had our first classes in the U.S. and Canada there. And we'll be adding ceramic coating training for our XPEL FUSION line also. So that's part of what you see there. So overall, I think that training revenue goes up, that's a good sign. Training revenue doesn't go up as fast, it's not necessarily a bad sign it's kind of how we look at it. On your question relative to the installation increase, we did do last year in August, I believe, we bought two small franchisees that we had in Canada as part of the Protex network. So there's a small amount of inorganic growth in that, but by enlarge that's organic growth.
Unidentified Analyst: Okay. Well, thank you. I've got one more question if later they want to put me into the queue.
Ryan Pape: Well go ahead. Go ahead and ask.
Unidentified Analyst: It's impressive, the other revenue growth, looks like 50% growth up to $1 million in other revenue now. So that's interesting. Can you give us a little more color on that? Like is it mainly the architectural film, or is it mainly your new ceramic coating?
Barry Wood: No, Adam, this is Barry. So on that, that's kind of the catch all of the non-film products and whatnot. So think about product sales, chemical sales and things like that.
Unidentified Analyst: So where does the other stuff I mentioned come in? Where does the…
Barry Wood: Yes, and I'm sorry, I wanted to finish. And it is a coating that's in there as well, so that's all part of that equation.
Unidentified Analyst: So does the architectural film count as window film?
Barry Wood: It counts as window film, yes.
Unidentified Analyst: Okay. So ceramic is part of other but the architectural film is --. Is architectural film a significant portion of window film there, or is that mainly the automotive window film?
Barry Wood: That's mainly going to be automotive window film. As you know, we're continuing to build our architectural window film product line.
Operator: [Operator Instructions] Our next question comes from line of Aaron Lanni with Medici. Please proceed with your question.
Aaron Lanni: So my question is in your filings you mentioned increased competition in China being kind of the factor in that market. So I was wondering if you can explain maybe how competition in China is perhaps different from your other markets, and how you're adapting for that. Thanks.
Ryan Pape: Sure. Yes, it's a good question. I think when you look at the overall market strategy and competitive position globally, China is certainly the most unique market. It's unique in the sense that there are more brands in this space and probably most others than you would see in most other markets. There's just an over proliferation of different brands, and that sort of leads to a very aggressive and competitive market in terms of the marketing tactics, in terms of strategy around the product. So I think our approach in dealing with that. Some of it is sort of our textbook playbook that we might run globally. But then we've got to support our partners in China. I think probably the number one way that we've done that and continue to do that is in terms of product differentiation. We have several products that are China only products really targeting the specific needs and wants for the consumers there. And that is a strategy around addressing the competition, the competitive aspects, but also in terms of just servicing that market in the way that it needs to.
Aaron Lanni: And my other question was I was wondering if you can give us an update on your efforts to diversify into non-automotive film?
Ryan Pape: So the two primary efforts there are around our architectural window film. And that's that -- we've not yet broken that out as a percent of our overall window films sales. It's still a very modest component obviously. But we're seeing good progress on the window film side, in general. We've got a number of product line enhancements and other things coming, and some really unique things coming on architectural line as we come into next year. So that would be one. The second is our RX, anti-microbial film that we acquired last year. We've really been in the process of rebranding that and re-launching that as the XPEL product. So we're starting to get a little bit of traction on that. Those are our two main and very public areas outside of automotive. We have a variety of other non-automotive uses that we see through our customer base that are perhaps not directly supported by us. And sort of the next evolution of looking at the nonautomotive component of the business is, are there other uses that are currently being put in place by our customer base that we can elevate to a supported use, perhaps with specific products, or product differentiation. So we're really looking at our customers for some of the best ideas there, which there are a lot. So still small percent of total revenue non-automotive but continues to be a focus of ours.
Aaron Lanni: And if I may, just a last question. So the growth in your U.S. market continues to be extremely strong, which is kind of counterintuitive, because it's also your most mature market. So I was wondering if you can talk about kind of the growth runway that you see in the U.S., given that PPS penetration is probably creeping up on that 10% level.
Ryan Pape: I think, forecasting growth in that U.S. business is tough. It's easy when we kind of look backwards and project forward. But that business is composed of thousands of individual operators. I think the dynamic in the U.S. that you have to consider now is obviously, we have paint protection film business growing. We have the automotive window film business growing. We're taking market share there. We have the ceramic coating business growing. And then we have the labor component and the installation business growing. So we have a lot of opportunity and a lot of angles for growth in the U.S. So when we look forward, very difficult for us to accurately forecast what is our go forward growth rate in the U.S. I can tell you that as we looked at 2019, we didn't expect Q2 2019 to be 56% revenue growth. Our well thought and researched view is it would be lower than that, but it's still a very significant double-digit growth. So I think the point is we don't have a lot of specific visibility, but we do have a lot of angles for growth. And we have, by far, our biggest sales team in the U.S. And that's part of what we want to replicate elsewhere in the world, because you just need -- you need time, you need man hours to be able to take an ever growing product portfolio and get it in the hands of the dealer. And that's where the U.S. business really has a leg up on all of our other regions that we have the most people attached to it. So that's clearly something we've taken note of and part of our operating strategy going forward, to try and replicate that everywhere that we can.
Operator: Next question comes from a line of Tim Chatard with Quantum Capital. Please proceed with your question.
Tim Chatard: Just got a question on how your supply agreement works with the manufacturer of the film. Is it -- I think in the 10-K, you talked about a minimum purchase amount. But is it linked to any commodity price? And I don't know if it's public information, who the supplier actually is, but I'm just curious?
Ryan Pape: No, there's no direct linkage to any particular commodity price in any of our pricing agreements. Clearly, there is some input from commodity prices into some of the raw materials use to make, both paint protection and window films to varying degree. But there's a lot of different suppliers involved and none of their component prices sort of directly tracks oil price, for example. But maybe some of the other feed stocks and other components, so no direct linkage there. And we do have agreement for our primary manufacturer that would renew in next March.
Q - Tim Chatard: But it's not public information who that is?
Ryan Pape: Yes, it's in all in the Form 10.
Unidentified Analyst: Who is it -- or…
Ryan Pape: Infratech is the supplier in the Form 10, that's correct.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the floor back over to management for closing comments.
Ryan Pape: I want to thank everybody for their time today and look forward to speaking with you next quarter. Thanks a lot.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.